Operator: Good day ladies and gentlemen and thank you for standing by. Welcome to the South Jersey Industries Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Dan Fidell. Sir, you may begin.
Dan Fidell: Thank you. Good morning everyone and welcome to SJI's third quarter 2020 earnings conference call and webcast. I'm joined today by Mike Renna, our President and Chief Executive Officer; Steve Cocchi, our Chief Financial Officer, as well as additional members of our senior management team. Our earnings release and the presentation slides that accompany the call were issued yesterday after the close of the market and are also available on our website at www.sjindustries.com. The release and the associated 10-Q provide an in-depth review of earnings on both a GAAP and non-GAAP basis using our non-GAAP measure of economic earnings. Reconciliations of economic earnings to the comparable GAAP measures appear in both documents. Throughout today's call, we'll be making references to future expectations, plans, and opportunities for SJI. Actual results could differ materially from those projected in our forward-looking statements and include, among others, statements about the length and severity of the pandemic or other health crisis, such as the recent outbreak of COVID-19. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings. And with said, I'm pleased to introduce our CEO, Mike Renna who will review our business operations and pandemic response. Our CFO, Steve Cocchi will then review our third quarter financial performance and financial outlook. Mike will then review our key priorities for the remainder of the year and offer some closing remarks. After that, we'll be happy to take your questions. With that, let me now turn it over to Mike.
Mike Renna: Thanks Dan and thanks to all of you for joining us today. I hope you and your families are safe, healthy, and well. I'd like to begin my remarks with an update on our operations and the significant progress we've made in executing our business priorities in 2020 despite this terrible pandemic. Our top priority remains the safety of our employees and assuring critical gas delivery to our 700,000 customers. Overall, our businesses continue to operate very effectively during the pandemic, thanks in large part to the dedication of our exceptional employees. As you know throughout this pandemic, we have incurred incremental costs to keep our businesses running and maintain high levels of service. We've also experienced higher uncollectibles as shut offs in New Jersey have been suspended since March with our full and voluntary support. Thankfully, in July, our regulators unanimously approved an order authorizing the state's utilities to establish a regulatory asset, allowing the deferral of these incremental expenses for future recovery. We have also completed multiple steps in 2020 to strengthen our balance sheet and liquidity, eliminated a majority of our debt maturities for the next five years, and ensure the ongoing funding of our capital program. Having taken these proactive steps, we feel confident in our ability to continue to successfully navigate through the impacts of COVID-19 going forward. Turning through our business results, successful execution of our priorities combined with a fourth consecutive quarter of solid improvement our financial results, shows that our business transformation efforts over the past few years are paying off. Consistent with our goals, our utilities South Jersey Gas and Elizabethtown Gas represent the majority of our earnings. Margins have increased significantly in 2020, reflecting above average customer growth, positive base rate case outcomes, decoupling and weather normalization riders, critical infrastructure modernization programs and trackers, and effective O&M management. With respect to customer growth, natural gas remains in strong demand across our territories and across New Jersey. With more than 14,000 New South Jersey Gas and Elizabethtown Gas customers adding service in the last 12 months alone. The bulk of our new customers continue to come from conversions, with roughly two-thirds converting from alternative fuels, such as heating oil and propane to cleaner burning and lower cost natural gas. Our regulatory relationships remain constructive and strong, resulting in amicable settlements in record time with desired results of both our utilities. Our utility infrastructure modernization programs critical to assuring safe and reliable service to our customers have the added benefit of significantly reducing methane emissions. Over the last 12 months, we've invested more than $150 million to replace aging cast iron and bare steel main across our system. And on October 1st, we adjusted our rates with regulatory approval to begin recovering these important investments. Our non-utility operations have also experienced significant improvement this year as well, largely as a result of a right-sizing and a refocusing of business priorities. Our wholesale business has delivered solid year-over-year improvement, driven by strong performance related to our fuel management contracts, the roll-off of legacy contracts, reshape portfolio, and asset optimization opportunities. Finally, our Energy Services business has delivered on our commitment to align and advance the clean energy goals of our state and region. In August, we announced a new joint venture with our partner Captona to invest in renewable projects, and at the same time announced the acquisition of two fuel cell projects in New York City. These projects, along with targeted solar investments that our corporate facilities landfills and select other projects, fulfill our clean energy investment goals for 2020 and provided a solid $0.12 cent per share ITC benefit to third quarter results. Overall, we are very pleased with the execution of our business plan in 2020. At this time, I'll now turn it over to Steve to review our third quarter results and guidance, after which I look forward to offering some closing remarks. Steve?
Steve Cocchi: Thanks Mike. Good morning everyone. As Mike noted, despite the continuing pandemic, our business performed well in the third quarter and year-to-date and we've experienced no material financial impact from the pandemic. As Dan noted earlier, both the earnings release and the slide deck we've made available will provide you with detailed information regarding GAAP earnings, and I would encourage you to review that information as well. For the purposes of this call as we normally do, we'll focus our discussion on our non-GAAP measure of economic earnings, as management believes that this measure provides valuable insight into the performance of our business. Third quarter 2020 economic earnings were a loss of $0.06 per diluted share compared with a loss of $0.30 per diluted share in third quarter of 2019, reflecting improved profitability from both our utility and non-utility businesses. Our utilities contributed a third quarter loss and earnings of $0.18 per share compared to a loss of $0.24 per share in 2019. Improved results primarily reflect the ETG rate case that became effective last November, positive customer growth, and base rate roll-ins related to SJG's infrastructure modernization programs. Our non-utility operations contributed $0.21 per share compared to $0.02 per share in 2019. Improved results were driven by increased profitability at both energy group and energy services. Energy group contributed third quarter earnings of $0.06 per share compared to a loss of $0.01 per share in 2019, reflecting additional fuel management contracts became operational over the last 12 months, higher volumes and improved asset optimization opportunities resulting from efforts to reshape our portfolio. Energy services contributed third quarter earnings of $0.14 per share compared to $0.02 per share in 2019, primarily reflecting the recognition of $0.12 per share in investment tax credits related to fuel cell and solar acquisitions that were announced or achieved operation during the latest period. Our other segment contributed a loss and economic earnings of $0.09 per share compared to a loss of $0.08 per share in 2019, reflecting an increase in outstanding, partially offset by debt repayments, and refinancing activity. For 2020 year-to-date, economic earnings were $1.4 per diluted share, compared to $0.65 per diluted share for the comparable period a year ago. Again, reflecting improved profitability from both our utility and non-utility businesses, and driven largely by the same factors as third quarter. As Mike mentioned, throughout 2020, we've completed steps to strengthen our balance sheet and liquidity and ensure the ongoing funding of our 2020 capital program. In July, we refinanced that SGI a $200 million 18-month term loan in two tranches with maturities of seven and 10 years respectively. And on July 31st, we closed on our sale of Elkton Gas to Chesapeake Utilities for approximately $15 million in cash, with the proceeds fueling further debt reduction. As of September 30th, we have $1.1 billion in total credit facilities and approximately $450 million of available capacity on our revolvers and feel confident in our ability to manage through the impacts of COVID-19. Our balance sheet continues to strengthen in 2020. Equity to total capitalization was approximately 33% at September 30, 2020 compared with approximately 30% at December 31, 2019, reflecting debt and equity financing, and repayment of debt using proceeds from asset sales. Including the conversion of mandatory convertible equity units due in 2021 and equity credit from rating agencies for long duration debt, our adjusted equity to total capitalization ratio, a non-GAAP measure was approximately 41% at September 30th 2020 compared with approximately 38% at December 31st, 2019. Turning down the guidance, our capital expenditures year-to-date were approximately 400 and 10 million, primarily reflecting investments for utility infrastructure upgrades, system maintenance, customer growth, and clean energy investments. We continue to expect capital spending of approximately $600 million in 2020 with approximately $500 million for safety and reliability investments that are utilities, and the remainder for non-utility, clean energy and other investments. We're pleased to report solid third quarter and year-to-date results, excluding the recognition of $0.12 cents per share in ITC related to our clean energy investments and the latest period. Our third quarter results still showed a sizable $0.12 gain per share improvement versus the comparable period a year ago, again driven by improved results of both our utility and non-utility segments. As a we head into the fourth quarter, we now expect 2020 ongoing economic earnings at the upper end of our dollar $52 60 per diluted share range with approximately 75% of earnings from our utility operations, excluding interest costs. As a reminder, while we have thus far witnessed no material financial impact from the pandemic, we're continually monitoring all facets of our operations for potential future impacts to our financial projections. That concludes my remarks. And I'll now turn it back to Mike.
Mike Renna: Thanks Steve. Before we conclude, I want to say a few words about our continuing strategic priorities. Above all else, we remain committed to the safety of our employees, our families, and our communities. We are functioning very effectively from a largely remote platform, and we'll continue to make decisions informed by directives from our leaders and health experts. On the regulatory front, we have several important clean energy focused regulatory initiatives pending before the BPU. In June, the BPU issued an order directing the state's utilities to file expanded energy efficiency and demand response programs with a program effective date of July 1st 2021, short to medium term. These programs designed to reduce consumption and lower customer bills have the added benefit of being a significant job creator. Consistent with our existing energy efficiency programs, we would expect our cost to be recoverable through a surcharge. In September, our utilities filed proposals to expand our energy efficiency programs, representing $267 million in new investment. We are also proposing a decoupling mechanism for Elizabethtown similar to the one currently in place at South Jersey Gas that will further encourage reductions in consumption. We expect a resolution of these requests in the second quarter of next year. We also expect to file a request to extend South Jersey Gas company's infrastructure replacement program before your end. This program which expires in 2021 remains critical to assuring the safety and reliability of our system and is an important driver in reducing fugitive methane emissions. It's also provided hundreds of good paying jobs in New Jersey for more than a decade. On the Clean Energy front, we continue to evaluate a large few projects for potential future investment. Investments in renewable natural gas, smart meters, power to gas, other energy investments align with and have the potential to accelerate the clean energy goals of our state and region. We anticipate being able to discuss these new opportunities with you as we solidify our plans. The last topic I'd like to discuss with you today is the recent performance of our stock. Over the past several months, we've heard a variety of opinions as to why the utility sector has underperformed the broad market despite historically low interest rates and economic uncertainty. And why gas LBTs like SJI have underperformed the utility sector? The chief among these concerns is a narrative that presupposes the immediacy of terminal value on LDCs, driven largely by a shift in sentiment toward renewables and away from fossil fuels, a challenge even more pronounced for SJI given some of the aspects of the New Jersey energy master plan. And while acknowledging these concerns, as Mark Twain famously said, upon reading his own mistaken obituary, we believe reports of our death are greatly exaggerated. Quite the contrary, we view ourselves to be the best partners with the state, working hand-in-hand toward achieving and again, even accelerating the goals of the energy master plan. The energy master plan as a blueprint holds great opportunity for us to grow through strategic clean energy and decarbonisation initiatives and investments. At our core, we are a 3 billion rate based infrastructure company. Our pipes in the ground are a valuable asset pay for and serving customers safely, reliably and affordably for decades. In fact, natural gas continues to heat approximately 75% of homes and businesses in New Jersey, with thousands of new customers added every year. Safety, reliability and affordability are at the core of our mission. We are prioritizing critical infrastructure investments, investments that will modernize our system, greatly reduce fugitive methane emissions, and ensure critical supply and system redundancy. And we are equally committed to sustainability and are encouraged by the potential offered by technologies that lower consumption and the carbon content of natural gas. Our regulators continue to demonstrate their solidarity with us by approving and in fact, mandating regulatory initiatives that support these priorities. As I've said many times, we remain agnostic in terms of the molecules flowing through our pipes. Whether it's clean burning natural gas, renewable natural gas or hydrogen, our pipes will remain a vital energy delivery system for New Jersey for decades to come. We are proud of your as a company, we are partnered with the state, and it is never been more important for utilities across New Jersey to support our economic recovery efforts with the shovel ready jobs to get our state back to work. Let me conclude my remarks by once again thanking our 1100 employees, for your commitment to each other and to our customers. Your tireless work ethic throughout this crisis is why we continue to deliver on our mission by continued admiration and deepest thanks to all of you. Operator, that concludes our prepared remarks and we are now ready to open the line for questions.
Operator: Yes, sir. [Operator Instructions] Our first question or comment comes from the line of Richard Sunderland from JPMorgan. Your line is open.
Richard Sunderland: Hi, good morning. Thanks for taking my questions.
Mike Renna: Good morning Rich.
Richard Sunderland: Just want to start off on the LNG redundancy project. Could you provide an update of kind of where the regulatory process stands for that project and kind of any upcoming timeline or hurdles?
Dave Robbins: Yeah, hi, Rich. This is Dave Robbins. So, as you know, we filed last December. It's been slow to move admittedly up at the BPU. There has been some communication with staffs. In the last month, we have received a few discovery questions. There were some technical aspects of the filing, which were minor that we were asked to do. So, that has been reintroduced back to staff. So, we expect another round of discovery, you know, relatively soon. Again, we don't have a definitive timeline for getting ultimate BPU approval. So, it's moving but certainly been a little slower than we would have liked.
Richard Sunderland: Got it understood. And then maybe switching gears a little bit, the financing done this year -- the equity financing to be specific, think in part that was originally tied to this LNG redundancy project, just kind of thinking longer term here about future equity needs, whether specifically for this project or other programmatic spending discussed. Can you can outline what kind of might be the timing and overall need for equity at this point?
Steve Cocchi: Sure, hey, Rich, this is Steve Cocchi. So, I think as we've always said, we intend to continue to finance the business and our growth through a mix of debt and equity. I think we've got a tremendous amount of growth opportunities in front of us and have demonstrated good regulatory outcomes and support from our regulators to continue to invest in our systems in New Jersey. So, what we'll likely do is as we've done in the past, we'll have some guidance that we'll speak to next year at some point and we'll have more detail around specific equity plans at that point.
Richard Sunderland: Okay, great. And then if I could just fit in one more quick one, there's been a talk at times about local stimulus and how the gas system associated investment might be a way to put kind of jobs and money into the local economy. Could you speak to what you're hearing on this? And maybe, additionally, kind of thoughts on any incremental programmatic attract CapEx? If that would be your additive to your plan or if that would offset kind of current higher lags then?
Mike Renna: Hey, Rich, it's Mike, I'll take this one. There has not been any kind of formal announcement from the state with respect, specifically to utility kind of driven stimulus. Those conversations continue to happen, I think that there is certainly strong support in the front office as well as that with our regulators around utility investment as a means with which to get New Jersey's economy, I guess jump-start it, particularly on the jobs front. So, we stand ready as do all of the utilities in the state with shovel-ready jobs, to get our state back to work and our and our economy going again. I do think that there will be very specific stimulus-based programs that come out of the utilities. I think a lot of reason for the delay is just -- it's the overall management of COVID. As you well know New Jersey got hit very hard. It took us probably a month, if not longer, to begin the reopening process of our economy. We're just now getting through the summer and kind of heading into the fall. And so things are not fully reopened here. We're still taking a very measured approach. And so I believe that as we've kind of gotten this health crisis hopefully under control, the state and the and certainly the BPU are now turning their attention to the economy and getting people back to work. And I've had conversations very directly with folks at the leadership at the BPU who fully understand and appreciate how critical utilities are to that.
Richard Sunderland: Great, appreciate the color. Thank you.
Mike Renna: Thanks Rich.
Operator: Thank you. Our next question or comment comes from the line of Gabe Moreen from Mizuho. The line is open.
Gabe Moreen: Hey, good morning, everyone. Can I ask a little bit on bad debt expense? And I guess in the context of the moratorium on shut offs being extended, kind of how you're viewing bad debt, we're going into the winter heating season? And maybe can you also remind us just what the mechanisms will be ultimately for the recovery of that of that asset when the time comes?
Dave Robbins: Yeah, Gabe, sure this Dave Robbins. We -- a lot of our customers are paying and as Mike mentioned, we do have a regulatory mechanism put in place for recovery of bad debt in our regulatory asset. So, we're really doing some soft collections. Obviously, the moratorium for voluntary shut offs on residential has been in -- we've agreed to through March 15th. We are continuing to pursue our commercial delinquents, we have not really seen really noticeably issues with our large volume customers. So, we're still waiting for some guidance from staff as far as when recovery will be filed for, but we certainly have approval to defer those costs and we are doing that today.
Gabe Moreen: Great. Thank you. And then maybe if I can switch to sort of the renewables opportunity. Talking about the Catamaran JV, just how much I guess of your intended future investment will happen within that JV? Is there anything that we should know in terms of capital contribution sharing or tax credits and how it comes out of that JV going forward? I guess, just also in the bigger picture, thinking about 2021, the 100 million-ish, how are you thinking about that number going into 2021?
Mike Renna: Hey Gabe, it's Mike. I'm going to ask Steve to jump in here and help me but let me all he can talk more specifically about how potential future deals might look between us and Catamaran and the sharing of the CapEx and any associated ITC that might come from that. But as far as kind of thinking about our renewables investment, I would be remiss if I didn't kind of go back to when we first started discussing our kind of targeted reentry into insurance intervals. It was, as we've said, all along, it was designed to be very measured, very targeted, and to demonstrate support for the Clean Energy initiatives in New Jersey, and in the broader region. Clearly, , the energy master plan there, there is an emphasis on clean energy type of investments, we felt that at that time, strategically, it was to our detriment to not -- or to be the only utility in the state that was not making any kind of investments in clean energy. So, we committed to doing that in support of the state's priorities. But we've also said all along that that our goal and our focus with these investments would be on the type of clean energy and renewable investments that we're going to benefit our utility, and our utility customers. So, our focus has been on the longer term potential of RNG, smart meters, certainly a power to gas. So, as we think longer term around our spend, I mean, that's where our priorities would rest. The fuel cell, we thought was a really unique opportunity for us to make an investment in clean energy and the clean, I guess, consumption and use of natural gas. We thought that was a great strategic fit. But beyond that, I think we would not be looking to -- we've kind of said all along, or overall tax plan for this would be somewhere in the $150 million to $200 million range over a three-year period. Those would be for non-utility investments. And I think that that's a pretty safe sort of assumption. So, I think we're somewhere right around $100 million for this year. So, we've got somewhere between $50 and I think $100 million -- another $100 million would be at the very, very high end of our range. And I will say this to any investments that we make, they've got a clear, very rigorous internal hurdles. We're not doing this to simply chase after ITC, we want these investments to be strategic and aligned with our plan.
Gabe Moreen: Thanks Mike. No, that's helpful. Maybe if I can just follow-up with one more sort of RNG. Just of that $50 million to $100 million questioning just how much might be RNG and your ability to do it within the utility outside of the utility and if you do you know how you're doing in terms of recovering I guess the gas costs from RNG?
Mike Renna: Great question. RNG is a little bit of a longer term play, certainly not as long term as something like power to gas and hydrogen. But I think as a state, we're certainly well-positioned with all the plan offshore wind for something like power to gas. Again, I think that's, that's a that's, you know, that's a longer term kind of play an opportunity. I think there is a more immediate opportunity in RNG, we're encouraged by the conversations we're having within New Jersey. As you can imagine most of the opportunities in New Jersey would be around food waste landfills, wastewater treatment facilities, not an abundance of dairy farms in New Jersey. But there are the potential of dairy farms and the ability for them to very quickly have a meaningful impact on carbon intensity, because of the positive nature of methane that is generated from really manure is something we're actively looking at, as well as how do we -- for us, it really becomes it gets back to this vision and this goal of being a clean energy company, and finding ways to decarbonize our -- the gas flowing through our pipes. So, we as a company are committed to that and we are looking at every and all opportunity to do that.
Gabe Moreen: Got you. Thanks Mike.
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of Richard Ciciarelli from Bank of America, your line is open.
Richard Ciciarelli: Hey, good morning. Thanks for taking my question here. Just curious on the on the updated guidance that you provided. You obviously had some nice tailwind in the quarter on the non-utility side with the turnaround there and wholesale marketing and also the ITC recognition that you mentioned. Just curious if we can provide a little bit more color on what's driving the upper end of the range and maybe speak to the sustainability of that into next year.
Steve Cocchi: Sure, hey, Richard, it's Steve. So, look it's really being driven by the strong performance across the business this year. The utilities have had incredible performance for a variety of reasons, including kind of strong regulatory outcomes, and maintaining a strong focus on achieving efficiencies and cost controls. And then at the non-utility, as you've seen, our wholesale business has outperformed this year as well based on a lot of the things that we've talked about over the last couple of years, intentional efforts to reshape that portfolio to shed assets that are not performing up to our expectations. So we expect that to carry through to the end of the year and we expect to see the additional positives in the remainder of the year based on some of the regulatory outcomes and the performance of the business that we've seen thus far and that's really what's driving us to the upper end of the range. As far as next year and going into the future. As I said earlier, we would we would expect to, to come out with guidance at some point as we normally do. And we'll be able to give a little more concrete ranges around our expectations for next year at that time.
Richard Ciciarelli: All right, that's very helpful. Appreciate the color there. And then just separately on the PennEast project, any expected updates on when we when we should have Burke rule on the two-phase approach. And just curious I know in these the slides you mentioned you're still committed to the project. Obviously, we've seen several of your peers either elect to divest or spin some of their midstream assets. Just curious how you're thinking about that project overall?
Mike Renna: I'll take this one Rich, it's Mike. As far as you know any updates with FERC is as I'm sure you can imagine FERC is very tight-lipped with respect to when we might get the final approval for the phasing of the project. We do have the EA in hand, and I would expect us to receive the notice to proceed. I am not anticipating or have I heard that there's any kind of issues from a FERC perspective. On a parallel path, the Solicitor General is reviewing the case and will make a recommendation to the Supreme Court. And again I -- we're not getting a lot of direct kind of indication as to when that that might be. But we continue to view things very positively that that tends to be sort of a general kind of feel around things. As far as our commitment to the project, I think where it differs from some of these other projects is -- this pipeline has a very and absolute impact on our customers, as -- in its entirety, right. So Phase 1, Phase 2. So, I think for the utilities in New Jersey, Elizabethtown, New Jersey Natural Gas and South Jersey Gas, you're talking about being able to afford your customers access to the arguably the cheapest natural gas in the country. And so, more than anything, our commitment is rooted into constantly doing what is best for our customers, and that is safe, reliable, affordable service.
Richard Ciciarelli: Yes, that makes a ton of sense. That's helpful. And then just one more if I may just going to the utility side, as you all begin to gear up for your filing -- for the rider renewals there, any learned lessons from your inside pier with their filing? Or how are you guys kind of just thinking about that overall?
Dave Robbins: So Rich, it's Dave Robbins, so I'll take that one. So, as you know we have a great opportunity in front of us to continue to make investments in our infrastructure. And we all know the benefits of these programs being under riders, we do expect to file the next South Jersey Gas accelerated program, probably within the next couple of weeks. Certainly, if you were referring to our peers, we certainly saw the New Jersey natural filing and I think there were certain costs that were removed from that case, but we're talking about an opportunity to -- in the name of safety and reliability, make some significant investments into our inventory of pre-cut steel and [Indiscernible]. So, we're still finalizing the number of the filing. Given the creation of jobs by these programs, we do expect the regulators to take a really good look, we've had some preliminary discussions. There's lots of support for these programs, particularly in these times as they generate jobs. But we have quite a bit of opportunity to make these safety and reliability investments both at SJG and ETG, but look for an SJI or SJG filing, like I said within the next couple of weeks.
Richard Ciciarelli: All right, perfect. That's very helpful. That's all I had.
Operator: Thank you. I'm showing no additional questions in the queue. At this time, I'd like to turn the conference back over to Mr. Dan Fidell to close this up.
Dan Fidell: Well, thank you all very much for joining us this morning. As a reminder, a recording of our call today is going to be available on our website. And as always, please feel free to contact me Dan Fidell for analysts and investor questions, or Marissa Travaline for media inquiries. So, again, thanks for joining us today and for your continued interest and investment in SJI. Operator, this concludes our call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may disconnect. Everyone, have a wonderful day.